Operator: Welcome to the Anheuser-Busch InBev's Full-Year 2018 Earnings Conference Call and Webcast. Hosting the call today from AB InBev are Mr. Carlos Brito, Chief Executive Officer; and Mr. Felipe Dutra, Chief Financial and Solutions Officer. To access the slides accompanying today's call, please visit AB InBev's Web site now at www.ab-inbev.com and click on the Investors tab, and the Results Center page. Today's webcast will be available for on-demand playback later today. At this time, all participants have been placed in a listen-only mode, and the floor will be open for your questions following the presentation. [Operator Instructions] Some of the information provided during the conference call may contain statements of future expectations and other forward-looking statements. These expectations are based on management's current views and assumptions, and involve known and unknown risks and uncertainties. It is possible that AB InBev's actual results and financial condition may differ possibly materially from the anticipated results and financial condition indicated in the forward-looking statements. For a discussion of some of the risks and important factors that could affect AB InBev's future results, see Risk Factors in the company's latest annual report on Form 20-F filed with the Securities and Exchange Commission on 19th of March 2018. AB InBev assumes no obligation to update or revise any forward-looking information provided during the conference call, and shall not be liable for any action taken in reliance upon such information. It is now my pleasure to turn the floor over to Mr. Carlos Brito. Sir, you may begin.
Carlos Brito: Yes. Thank you, Maria, and good morning, good afternoon everyone, and welcome to our full-year 2018 earnings call. Today, I'll be taking you through the results and highlights of this past year. I'll also like to spend some time on our global premiumization strategy, building upon the category expansion framework we introduced to you last year. I'll then spend a few minutes on our better world initiatives before handing over to Felipe to discuss our earnings, cash flow, capital allocation, and our 2018 reference base. We'll then be happy to take your questions. So let's start with the highlights. 2018 was another stewp forward in our company's transformational journey. We had many successes to celebrate, though the year was not without its challenges. We achieved strong volume, revenue, and market share growth in many important markets led by Mexico, China, Colombia, Western Europe and many African countries, especially Nigeria. We are pleased to see our market share trends in the U.S. improving, driven by our commercial strategy and focus on premiumization and innovation. This resulted in our best market share trends since 2012. Premiumization continues to be a key focus for our company, and as a result, our high-end company grew revenue by double-digit, our global brands had another outstanding year, and I'll go into more details on our premiumization strategy later in this call. ZX Ventures, our growth and innovation group delivered robust revenue results, contributing 10% of our global revenue growth, with strong commercial momentum allowing us to engage with consumers more than ever before. Our global sponsorship of the FIFA World Cup enabled us to execute the biggest and most powerful commercial campaign in our company's history, with Budweiser leading the way as the most "Talked About" brand on digital and social media. The top line growth driven by this commercial initiatives was coupled with solid operating leverage to generate EBITDA growth of 7.9% and margin expansion of more than 100 basis points as it continue to strike a healthy balance between top line results and profitability. And in line with our dream to bring people together for a better world and our culture of stretching ourselves to constantly improve we launched our 2025 sustainability goals this year, our most ambitious set of goals ever. These are some examples of the many achievements we attained in 2018. However, we faced challenges as well, which impacted our results. Some of our key markets suffered from difficult macroeconomic conditions that put pressure on consumers particularly, Argentina, Brazil, and South Africa. Currency volatility, especially weakness in the margin market currencies negatively impacted our U.S. dollar cash flow, which slowed our anticipated leverage path. As a result, we proactively rebased [ph] our dividend payout by 50% to accelerate the leveraging in line with our capital allocation priorities. We also faced increases in our cost base especially with respect to aluminum globally, and freight costs in the U.S. In summary, there was a lot to be proud of this year despite the challenges. We are well-positioned in emerging markets which represent more than 70% of our volume and almost 60% of our revenues. That is up for long-term growth despite short-term volatility. And as a company of owners, we manage our business for the long-term. Our revenues grew by 4.8% in full-year 2018, with revenue per hectoliter growth of 4.5% and 4.7% on a constant geographic basis. Total volume grew by 0.3% and beer volumes grew by 0.8% despite macroeconomic headwinds across many emerging markets. Non-beer volumes declined by 3.6%, largely due to a weaker industry in Brazil. The successful implementation of the market maturity model and the category expansion framework across our businesses contributed to good beer volume performance in many regions this year. We saw strong beer volume growth in Mexico, China, Colombia, Western Europe, and Nigeria, along with several other of our aftermarkets which was partially offset by weaker performances in Brazil and Argentina. Premiumization initiatives were led by our global brand portfolio, which continues to achieve double-digit revenue growth outside of the brand's home markets. On the other end of the price ladder, we extended our portfolio in many markets this year to include more affordable and accessible options for our consumers. These products drive increased beer per capita consumption, takes share from informal alcohol, and have comparable margins to our core portfolio. A positive op line performance coupled with operating leverage and continued cost discipline across our non-working dollars, contributed to EBITDA growth of 7.9% a margin expansion of more than 100 basis points despite currency and commodity headwinds. Our net debt to EBITDA ratio was 4.6 times at the end of the year, down from 4.8 times at the end of 2017, despite significant currency headwinds. The leveraging to around two times remains our commitment, and we will prioritize debt repayment to meet this objective. We expect our net debt to EBITDA ratio to be below four times by the end of 2020. As we disclosed during our third quarter results, the Board has proposed a final dividend of EUR 1 per share for fiscal year 2018, bringing the total dividend for the year to EUR 1.80. Let me now tell you more about the results of the quarter. Our revenue in the fourth quarter grew by 5.3% with revenue per hectoliter growth of 4.9% and 4.6% on a constant geographic basis. This growth was lead by China, Mexico, Colombia, and the U.S. Our global brand portfolio continues to grow faster than our total portfolio. With total revenue growth of 9.8% and 12.6% outside of the brand's home markets. Solid owned beer volume growth of 1.2% was partially offset by a decline in our non-beer business of 4.9% resulting in total volume growth of 0.3%. Our EBITDA growth accelerated in the fourth quarter to 10% with healthy margin expansion of 190 basis points to 43.3%. This was driven by top line growth, cost efficiencies and synergies captured, partially offset by an increase in year-over-year commodity prices. Let me now go into a bit detail in the performances of some of larger markets. Additional details on each country's performances can be found in our full-year results press release from earlier this morning. In the U.S., we are excited to have delivered an improved share trend, the best since 2012. This was a result of successful premiumization and innovation in the line with a five strategic pillars we implemented at the beginning of 2018. We remain focused on building winning brands, leading the trade up, stabilizing the share of segment trend of our core brand, growing the non-beer segment, and leading category growth. We are pleased to see both Budweiser and Bud Light improve their share of segment trend in 2018. Mexico had a great year. It was the biggest contributing market to both company's volume and revenue growth. The success was broad based with growth in every region and across all major brands result in share gain 60 basis points. Additionally, we have recently reached an agreement with OXXO, Latin America's largest chain of convenience stores. We are always looking for more ways to reach and satisfy consumer preferences. And by selling our leading brands, in OXXO, OXXO's more than 17,000 locations throughout Mexico, we can reach more consumers and more channels in more locations. Colombia had a solid year as well with top line growth led by our global brand portfolio which grew by double digits. We continue to capture revenue synergies in Colombia as well as in many other legacy STB markets through the expansion of our global portfolio as we develop premium segment. Our business in Brazil was under pressure this year given the challenging macroeconomic conditions. As a result, we estimate we lost 40 basis points of market share primarily due to segment mix shift. In light of the difficult environment, consumers traded down to the various segment where we under-indexed. However, we gained share in the growing premium segment mainly due to the success of our global brands. We also launched new affordable innovations such as Nossa and Magnifica to penetrate the various segments without compromising our margins. South Africa had a difficult year as a result of the macroeconomic environment, out of stocks and adverse segment mix shift as consumers traded up to the premium segment where we under-indexed. We have been focused on increasing our market share in the premium segment. And we estimate that we gain approximately 10 percentage points of share in this segment this year. We believe we have the right brands and strategy in place to continue this trend. China delivered a strong performance with balanced top line growth driven by volume and premiumization. Budweiser grew by mid single digits. And our Super Premium portfolio grew significantly supported by increased penetration of ecommerce channel. I would now like to spend some time on our premiumization strategy which we believe is one of the key levers that will enable our company to continue to deliver both top and bottom line growth. As you may recall during our full-year 2017 results call, we introduced you to the category expansion framework. Today, I would like to focus on one major element of the framework and that is premiumization. Global disposable income has been on the rise in recent years, is expected to nearly double in the next 13 years to more than $40 trillion. Many industries have benefited from this trend through the growth of the premium segment from mobile phones to coffee to battery. This trend is true for alcohol as well though compared to wine and spirits, premium beer is a smaller percentage as you see on slide 11. The beer category has a significant opportunity to further premiumize similar to other alcohol categories. This trend is healthy for the industry as it increases sales value as well as margin by enhanced mix. To win in the premium segment is crucial to have a portfolio premium brand especially as the markets mature. As you see on slide 12, the average number of premium beer brands increases exponentially as the market mature. In late stage maturity markets, consumption occasions are more frequent and more diverse due the fragmented taste profiles of consumers also willing to spend more. Taking to account, increasingly sophisticated consumer needs and values, we're well-positioned to win with our unmatched portfolio premium brands led by our complementary global international and local craft and specialty brands. Our global brands, Budweiser, Stella Artois, and Corona continue to lead our growth and now represent more than 20% of our total company revenue. In 2018 they grew revenue by 9% and 13.1% outside of their home markets where they typically command a premium price point. Budweiser had an outstanding year grew revenue by 10% outside of the U.S. its home country. Much of the success is driven by our biggest and most successful commercial container ever during the World Cup where we'll use our global sponsorship to elevate the brand and introduced it in many new markets. Budweiser role in our premium portfolios will offer consumers a trade-off from core beer especially in early-stage maturity markets. It's a high-energy social occasions and it's a flagship premium brand in the boys space. Stella to also delivered solid performance with revenue growing 52% this year, the growth was driven by a broad group of markets as the brand experience double-digit revenue growth in more than 25 countries. Stella Artois one of the brands in our portfolio with the richest history with the brewing heritage in its home country of Belgium dating back to 1366 and has an important role to play in our portfolio by owning the meal occasion. Corona continues to deliver phenomenal growth this year with global revenue growth of 17.6% and up 28.5% outside its home country of Mexico. This growth was led by China, Colombia, Argentina and Western Europe as well of a very strong performance within Mexico. Corona is our most premium global brand and has a very clear role to play in a portfolio for coed social occasions. Corona currently has a market share of 3% or higher in just three countries where we own the brand. With the brand growing double-digit globally we believe it's still far from reaching its full potential. The complementary nature of our global brands enables us to meet consumer needs in the variety of occasions and price points minimizing capitalization and driving overall growth of the premium segment. As consumer tastes for various styles becomes more sophisticated class and specialty brands become more special for our growth. And as a result, we have enhanced our portfolio across our markets to ensure we're relevant in this exciting and profitable space.  We're the number one craft beer brewer in the world with the portfolio more than 85 craft brands across many countries to meet the needs of every consumer occasion. Examples of the success of our craft business our the global expansion of brew silent with brew house or brew publication now open in Brazil, Canada, China, Mexico, South Korea and the U.K. as all the growth of our specialties portfolio. In addition to positive recognition from consumers many of our craft and specialty brands have been widely recognized at beer competitions across the world. Our craft and specialty portfolio won 363 awards in 2018 including 161 gold medals at the 15 most prestigious competitions in the world. It is not enough the best in class portfolio. To win the premium segment -- brands the right people in the right places at the right time is equally important. For this reason, we established the high end company and autonomous business unit with a focus approach to the printing segment. The high-end companies currently in 22 countries which represent roughly 70% of the premium opportunity worldwide within this markets we focus on the top urban centers and target the most premium points of consumption such as craft beer bars, nightclubs and fine dining restaurants. The high-end companies led by senior and experienced owners with specialized structure that combines the agility and speed of being independent with the scale of our core business. The high-end company has established itself as the number one growth engine of our company responsible for 10% of our total revenue, about 30% of our revenue growth. In fact premiumization represents our single biggest opportunity for growth. We estimate that the premium segment will reach more than 200 million hectoliter by 2020. This segment is expected to grow about five times faster than the core and value segment and based upon our experience it's a very profitable segment driving about two times more revenue for every hectoliter sold. In summary, the premium segment represents a powerful combination of high growth and high profitability and we're confident that our diversified portfolio of global craft and specialty brands is best positioned to capture this growth. Moving on, I'd like to take you through some of the accomplishments we've made on the path to our dream to bring people together for a better world. As you like to say sustainability is our business and it is good business. Mostly 2018 we launched our 2025 Sustainability Goals our most ambitious set of commitments that will help us grow our business for the next 100 years and beyond while reducing our impact on the environment. Our goals are closely aligned to United Nations sustainable development goals as we believe the private sector has a responsibility to contribute this to the solutions for some of the world's most pressing and complex issues. In one year we've made significant progress including global water partnerships with the WWF in the nature conservancy. Additionally 50% of our purchase electricity volume was renewably contracted and carbon emissions were reduced by 4.5%. We also launched the 100+ Accelerator a game changing program dedicated to finding new startups in technologies to serve the world's biggest sustainability challenges. So far we have launched 21 pilots across 12 countries where we're testing novel solutions emerging in agricultural technology logistics and packaging. Our brands are championing authentic sustainability costs consumers are looking to be empowered to everyday choices that make a difference. These initiatives are led by our global brand. Following the launch of the 100 renewable electricity symbols at the World Economy Forum in Davos in 2018 Budweiser rolled out the symbol on packaging in the U.S. with more markets close behind. The U.S. team then took this powerful message to the country's biggest stage the Super Bowl with the wind power team act. By now you are likely familiar with Stella to our partnership with Water.org which began in 2015. This partnership has now provided clean water access to 1.6 million people to-date partnering not only with cofounder Matt Damon but also with new celebrities like actress - Jessica Parker to drive awareness. Corona continue to lead the way in sustainable packaging becoming the first global beer brand to pilot plastic free ring on its cans in Mexico. Our dream for better world prioritizes smart responsible drinking, we believe that promoting smart drinking behavior benefits the community in which we operate and positions us to live a category for the long-term. Smart drinking is also good for business and we have made a part of our commercial strategy by providing our consumers with more choices within our portfolio. The current moderation and leveraging the global trend of health and wellness we're providing consumers of high-quality no- and low-alcohol beers which can play an important role in reducing harmful consumption. Our target is that 20% of our beer volumes come no-and-low alcohol beer by 2025. Approximate 8% of our global beer volume meets the criteria today. And six markets no- and low-alcohol beers make up at least 20% of our beer portfolio volume currently. A key to explaining this piece of our portfolio's innovation to ensure that we have a robust portfolio to meet different consumer needs. As such we launched 12 new products this year resulting in 76 brands globally that qualifies no- and low-alcohol. What makes the segment even more exciting is that this brand is often command a premium price point and the margins are typically higher since excise taxes tend to be lower. And now I would like to turn to Felipe who will take through our 2018 earnings, cash flow, capital allocation, and 2018 referencing. Felipe?
Felipe Dutra: Thank you, Brito. Good morning and good afternoon everyone let's start with an update on our synergies. In the fourth quarter we delivered $217 million of synergies bringing the total for the fiscal year 2018 to just over $800 million and total synergies captured to-date to over $2.91 billion. Our total synergy guidance remains at $3.2 billion which will be delivered by the end of 2019 earlier than we originally anticipated. As a reminder these synergies do not include any top line or working capital synergies. We continue to expect the synergy capture to require approximately $1 billion of one-off cash costs to be incurred in the first three years after closing and of which $623 million has been spent to date. Net finance costs in the year were over $6.7 billion compared to over $5.8 billion in 2017. This increase was entirely due to higher mark to market losses linked to the hedging of our share based payment programs of more than $1.7 billion compared to a loss of $291 million in 2017. We saw year-over-year reduction in most of other items we didn't add finance cost. Our normalized effective tax rate for the fourth quarter was 32.9% up slightly from 32.1% in the fourth quarter 2017 and bringing our full-year tax rate to 27.8%. Excluding the impacts of the gains and losses related to the hedging of our share-based payment program our EPR this quarter was 25.1% bringing the full-year tax rate to 24%. Our effective tax rate guidance for the full-year 2019 is between, 25% to 27% excluding any gains and losses related to the hedging of our share-based payment programs. Moving on now to earnings per share our underlying EPS this year defined as our normalized EPS excluding the impact of mark to market related to our share-based payment programs and hyperinflation adjustment in Argentine increased by $0.19 from $4.19 to $4.38. The increase was primarily driven by lower net finance costs excluding the impact of the hedging of the share-based payment program and higher normalized EBIT partially offset by higher income tax expense. We also incurred a year-over-year decrease in the share of result of associates driven by too many items. First our share of associates was of normally high in 2017 as we were catching up with 2016 results reported by the - group as discussed during the full-year 2017 results conference call. Second in 2018 the share of results of associates was negatively impacted by an approximately 85% currency devaluation in Angola, which is an important market for the Castel Group. There were also one-off events in the smaller associates. On a normalized run rate we estimate that income from associates for the past two years would have been roughly $200 million each. We closed fiscal year 2018 with $14.7 billion of cash flow from operations and it is a margin of 40.4% and compared to 26.8% of our net revenue into cash well ahead of our peer group. Moving to core working capital another important dimension for cash flow generation, core working capital consists of those elements of working capital which we consider fundamental to the operation of our business it excludes certain items which management has little or no ability to influence, for example payroll related tables. 2018 we reached an average level of negative 13.6% of net revenue. This number is an improvement from last year, but remains below our high watermark in 2016 of negative 15.2%. This is primarily driven by SAB consolidation which was at much less efficient level of core working capital as a percentage of net revenue. This remains another area of synergy potential when applying our traditional company cash conversion efficiencies in the combined footprint. I will now spend some time discussing our debt profile. On slide 32 we will see that our debt maturity profile is well distributed across the next several years as we maintain roughly $16 billion of liquidity composed of cash and revolving credit facility. In early 2019, we completed notes offering with a weighted average maturity of 20 years and subsequent tender offer for notes maturing between 2021 and 2026 allowing us to significantly expand our debt maturity profile and eliminate refinancial pressure for the foreseeable future. This transaction extended approximately $14 billion of debt between 2021 and 2026 so that the debt maturing during that timeframe can be repaid with free cash flow while facilitating the leverage. Our debt portfolio remains insulated from interest rate volatility as 94% of our debt holds a fixed rate. Furthermore the portfolio is comprised of a diverse mix of currencies 56% of our debt is eliminated in U.S. dollars while roughly 35% is linked to euro. We use the euro currency as a proxy for the emerging market basket of currencies that are relevant to our EBITDA and cash flow generation. The euro has a strong correlation with our main emerging market synergies and has the advantage of providing access to bond market with significantly higher liquidity and lower costs. In order to further balance our currency mix we have also issued debt in alternative currencies such as British pounds, Canadian dollars and Australian dollars. Following the recent notes offering and tender offer, we had expanded our weighted-average maturity to roughly 14 years and our debt maturity in any given year is considerably lower than our annual cash flow generation. Finally we expect the average pretax gross debt coupon in full-year 2019 to be between 3.75% and 4%. Our net debt to EBITDA ratio was 4.6 times at the end of the year down from 4.8 times at the end of 2017. We expect our net debt to EBITDA ratios to be below four times by the end of 2020, and de-leveraging to around two times remain our commitment, and we will privatize debt repayment in order to meet this objective. As you can see from slide 34, our capital location objectives remain unchanged. There is one more item I would like to go over before beginning the Q&A section. As we updated our 2018 segment reporting for purposes of results announcement beginning January 1, 2019 which can be found as a reference days on pages 28 and 29 of our press release published earlier this morning. I'd like to call your attention to the fact that this reference phase incorporates three changes the first is the new regional results presentation as we explained during our second quarter 2018. The second is the impact of hyperinflation accounting applied to the first and second quarter of 2018 for the Argentine operations as if we had applied hyperinflation accounting as of January 1, 2018. This modifies the third quarter results without impacting the full-year reported figures. The third change is the restatement of our results considering IFRS 16 adjustment or lease reporting as if we had applied a new standard as of January 1, 2018 as well. The new standard changes the way that we present our results with an increasing depreciation of $428 million more than offset by $512 million increase in EBITDA leading to an increase of $84 million in EBIT that broadly offset the increase in finance costs as per the table in slide 35. It is also important to note that lease liability will be reflected in our net debt beginning in 2019. For reference, at the end of 2018, this number was just under $1.8 billion. More detail on the changes can be found on page 17 and 40 of our 2008 in finance reports. And with that, I will hand it back to Maria to begin the Q&A section. Thank you.
Operator: Thank you. The floor is now open for questions. [Operator Instructions] Our first question is coming from Olivier Nicolai of Morgan Stanley.
Olivier Nicolai: Hi, good morning, Brito, Felipe. Got one question regarding the pace of the leveraging, and then one follow-up on the working capital. So regarding the pace of the leveraging, you've indicated in the past that ABI can reduce its net debt to EBITDA by about 0.5 per year assuming no significant [indiscernible] in EM currencies. Is it reasonable on a constant currency basis to assume that it could be the case for 2019? And then regarding slide 31, on working capital as a percentage of net sales, what are the difficulties that you are facing to bring SAB to the level of ABI and do you expect this to offer [ph] at some point? Thank you.
Carlos Brito: Okay. On the face of the leveraging, so as we said in our outlook that we are committed to be below four by 2020, and coming from 4.6, that very much implies a pace that is in sync of what we said, which is what we believe can be achieved under normal circumstances. So we are fully committed to that number. On the core working capital, we have some impact here in terms of zone mix as well as the timing of certain changes. There is no reason why we should not expect the former SAB territory to get to similar or comparable levels to former ABI and therefore coming back to our path of continuous improvement as from the high watermark achieved in 2016.
Olivier Nicolai: Thank you very much.
Carlos Brito: Thank you. 
Operator: Our next question comes from the line of Trevor Stirling of Bernstein.
Trevor Stirling: Hi, Felipe and Brito. Two questions from my side. The first one, Brito, in Colombia, I gather there's a new entrant and the brewery has just opened, I was wondering if there was any early indications yet about what the commercial strategy might be, or what the impact could be on the beer market in Colombia. And the second question. I don't expect you to comment directly on this, but there were press reports about a potential listing of the Asian operations. I'm sure you won't comment directly on that particular story, but do you think there's a possibility that there are [indiscernible] organization that could be partially listed and what would be the logic behind that?
Carlos Brito: Hi, Trevor. So on the first question, I mean Colombia, I mean, it's all very knew. Yes, it is true that we'll have CCC that built the brewery, we'll have local production. Some of their brands are already present in Colombia. That's important to say, because they've been important brands now for many years. Like global brands on their side and some other U.S. value brands. But there will be local production. It's too early. There's nothing really to report at this point, but what I can say is that ABI, we have a very solid position in Colombia. We have a very strong portfolio core and premium brands in those two segments. We'll continue to grow and invest in Colombia by serving consumers and our part, developing our brands. Last year, for example, we renewed the [indiscernible] and that contributed in a huge way for the quality perception of the brand bringing to life the easy drinking aspects of this brand. And it is also true that the Colombian market has shown loyalty to our brands given the long time we have been present in the market. And again, we are very committed to Colombia. It's one of our top five markets. And if you look at the results for this year, we have very good momentum. So Colombia had a very positive revenue growth in the full-year by 8.4% out of which 3.2% was volume, 5% was [indiscernible]. In the beer category, importantly enough expanded. So we gained share within total [indiscernible] in Colombia, and so this is all very positive news. And we continue to drive premiumization. So our global rent portfolio grew by more than 75% in the last year, 2018 in Colombia led by Budweiser. And our local brand portfolio continues to do very well, including Club Colombia, which is a local premium.
Felipe Dutra: Trevor, on the rumors about Asia IPO, of course, we cannot speculate on that. If we ever considered such a thing I think the merits are more in terms of creating a platform for future M&A, establishing a local champion. Yes, that could potentially help the leveraging too, but given the pace of leveraging at the current liquidity levels, that would never be the rationale for such a thing.
Trevor Stirling: Thank you very much, gentlemen.
Carlos Brito: You're welcome.
Operator: Our next question comes from the line of Robert Ottenstein of Evercore ISI.
Robert Ottenstein: Great, thank you very much. Two questions, so Brito, great presentation on the premiumization strategy and I just want to push on that a little bit. Historically, your strength has been more in the mainstream. I think you've recognized with the high-end company that you need somewhat different skill sets, and perhaps different incentives to maximize the value of your global brands there and you've done a very good job obviously in Europe and China. How would you rate where you are in other regions of the world to be able to execute the premiumization strategy? Are you there yet? Are there certain skills that you need to develop and capabilities? So that's a question for you Brito. And then Felipe, kind of follow-up on the last question, you know, if you had the ability to buy Castel, would you be able to finance it, how would you look to finance it? Thank you.
Carlos Brito: So Robert, on the first question, I think what you said about the high-end company, it's not something of a foreign concept and non-concept to us. When you look at ZX, we did the same thing. So we took some things that we thought could be grown in a much faster fashion and decided to dedicate a group for those things like e-commerce, specialty brands, brand experiences, brewpubs. On soft drinks, you might remember, many, many years ago we did the same. We created a separate business unit in the company. We did the same now with a high-end company ten years ago, recognizing the premiumization trend around the world in all sorts of maturity levels -- level markets. And so we decided to form this business unit that today is present in 22 markets. And I think you could proxy, it should be hard for me to rate where it stands, but I think a good proxy for where it stands and what it's doing for us is the global brand performance. I think global brands really need to go parts of what the high-end company does, but also the craft and the specialty brands. If you look at all those three sets of brands, I mean, it's growing. And the high-end company also reflects our view that the game today to be played given where consumers are in occasions in the way they're fragmenting is a portfolio game. So we believe that global brands should be tackled with the portfolio brands, not one brand, at least three or four that crafts -- the craft opportunities around the world should be tackled with a portfolio brand, the thing [ph] for specialties. In the high-end company, there's a group of very experienced owners that are really driving and exchanging best practice on how to best accomplish in dealing with this assortment in terms of quality of distribution, quality of execution, and really making sure our packaging and our execution are really worth the premium price it commands. So I think the high-end ZX soft drinks unit all proof points of when we decide to get people focus on something. They develop the skill set and a good proxy for it would be to continue to see the growth of our global brands, specialty craft brands. And again, the global the high-end company today represents 30%, represented 30% of our net revenue growth floating rate last year. So I think that's a proxy for what it's doing. And again, when you look at our global brands, look at Corona. For example, in places where we own the brand, only three markets, we have more than 3% share of total of total market, most markets will have less than half a share point shutter total beer. So for me, it says that we still have tons of things to do with Corona with Budweiser and with Stella, so, again, very bullish on that in the high-end being the vehicle to make it happen in the marketplace.
Felipe Dutra: So, on the cash flow side, Robert, we are really focusing on bringing our relationship to the next level, exchange of best practices, making our portfolio of global brands available for the Castel territory as a way to face competition as you know there is this premiumization trend in, in many markets getting to know each other better and if we ever reached the conclusion that our business should get together there are many ways of structuring there.
Robert Ottenstein: Thank you.
Operator: Our next question comes from Eamonn Ferry of Exane BNP Paribas.
Eamonn Ferry: Hi guys, two questions from my end. The first one is you're pointing to, I think the word user strong revenue and EBITDA growth for FY, '19, just wondering if you could give us a give us a bit of help on what strong means. And second question on volumes noted that you now want to better balance within your top line growth more volume, it's good to know how you exactly plan to do that on, what regions, what strategy will price mix be sacrificed et cetera. Thanks.
Carlos Brito: Well, I don't want to sound cute, but I'm in strong really means you know it's something that you write home about, so I think that's the best way to define this. Other than that, I'll be giving explicit guidance and we are giving a qualifier given, things we've seen some markets and I'll give you some examples. But for example, first time in the fourth quarter besides some acceleration we saw momentum building towards the end of the year in general in our business. So that's already a good start for '19, then if you go country-by-country. I mean, look at the U.S. and the U.S., we had a 40 bps you know, declining market share. But in the second -- in the last quarter of the year, we had a 30 bps and in December the results was much better than that. So I mean, you see some sort of acceleration in terms of our strategy work. Now go to Brazil our second biggest country, we had an important election. And if you look at Brazil last year, I think there were two years in one. The first year was before the election with the, trucker strike and the whole thing about the very acrimonious environment with the election leading up to the election. Consumers were not very happy with the front pages of papers every day and the confidence was low. After the election, confidence of consumers went up, people are optimistic. And you saw a much better end of the year for example, in our case our volumes is to negative but we do share, so we were performing better than the industry. Then you go to Mexico. Mexico had an amazing year last year, so very strong growth. And on top of that now we're going to be beginning of April 1, we're going to be selling within an important set of stores from OXXO, which is the most important convenient store in Mexico and for that matter in Latin America, we're taking thousand stores. We're going to be selling around Guadalajara in Mexico City, which are very important margins for us with very high share and is used to be 100% products from our competitors. So again, on top of a very strong momentum, you add beginning in April, in a phased approach, you add OXXO on top of it, and on March 4, we're going to be officially inaugurating next week, a new brewery in the central region. So we're going to be able to supply that, we have capacity then you look at Africa, I mean Nigeria now that we have capacity, I mean we are growing and continue to grow very fast. Then you look at Western Europe, had an amazing year last year. Asia same thing, had momentum towards the end of the year. Going back to Brazil, we're also now finally activating more than value segment with prop things we learn in Africa with local serials in the northeast. So we're growing our participation on a segment -- various segments that we have very low share. So I mean and if you look at our outlook what we're saying in general is that we want to achieve a better balance sheet in revenue and volume. That our revenue per hectoliter should be above inflation and our cost, cost of sales of SG&A should be below inflation, therefore, EBITDA growth. So I think that's at this point what we're willing to say about 2019, but with the strong fourth quarter. And again, we're planning the category space for framework across the business. So we've been very consistent on how we assess our brands our portfolio trends where consumers are going and resource allocation to match or consumers are going to be landing three years, five years down the road. So again, we are excited with our plans for 2019, yes.
Eamonn Ferry: Okay. Thanks.
Carlos Brito: Thank you.
Operator: Our next question comes from the line of James Edwardes Jones of RBC.
James Edwardes Jones: Yes. Hi, guys. Given the currency fluctuations and you're hedging policy. Is there anything material we should be aware of to the margin outlook? I'm particularly thinking of the president to Brazil a couple of years ago?
Carlos Brito: Well, there is no margin outlook. You know, margin is not part of our outlook, we refer to the strong top line and EBITDA growth, what is embedded in our outlook is impacting cost of goods sold. And there are two references in there, cost of goods sold and SG&A should be below inflation and cost of goods sold by itself should be in the mid-single digits' territory despite the significant pressures in FX and commodity price.
James Edwardes Jones: For Felipe, and couple of years ago we see there was that shock, which people weren't expecting when margins in Brazil in the third quarter. I think we are way below expectations and you say, can you give us any sort of steering whether there's going to be something similar happening again this year?
Felipe Dutra: Well, I appreciate the point. But our outlook refers to ABI consolidated and we do not break down particular references for country although in the -- on that press release, you can read that there is an expectation for cost of sales for particularly just to be in the meeting. And there's a combination of commodities and FX and despite the cost pressure and based on a more balanced top line growth, it is also expected EBITDA to grow faster than 2018, but I have no references for margins there.
Carlos Brito: And if I could compliment, James, I think your question referred to 2016.
James Edwardes Jones: Yes.
Carlos Brito: I think 2016. Yes, 2016, since 2016 the big surprise we had in Brazil was really the taxes at both federal and mainly state levels that really was something that was really hard to pass enterprises and we had to observe that during the year on top of the Cass increase, so I think that was the big difference. This year 2019, yes there will be pressures on the Cass. But you know, though, for now, there'll be no tax. We don't see any tax increase or anything. And in 2016, let's remember we had the current situation in which the company was being sold and was very promotion in the market that added to the whole situation and made the pass through very hard. So I think we're in a different world now.
James Edwardes Jones: That's very helpful. Thank you.
Carlos Brito: You're welcome.
Operator: Our next question comes from the line of Andrea Pistacchi of Deutsche Bank.
Andrea Pistacchi: Yes. Hi, Brito. Hi, Felipe, I have two questions please, the first one on your Cass outlook mid-single digit per hectoliter now. With aluminum prices that have been coming down quite a lot since May last year. And obviously you hedge about a year out, is it fair to assume that Cass pressures will be quite significantly more weighted to H1, but should start to ease probably quite substantially in the second half? And the second -- the other second question please on Brazil. I appreciate there's probably not much you can say about current trading, but with the consumer confidence improvement that we're seeing, would you say this is starting to feed into better be a volume growth for the industry in Brazil? And would you be optimistic that this year you can at least the industry could grow volume in Brazil?
Carlos Brito: Well, the first question on Cass. Felipe, do you want to take this one?
Felipe Dutra: Yes, well. We see very much across the board. I just want to not break down specifically for quarter. Yes, I think that is no indication of that.
Carlos Brito: Yes, we stick with our guidance for total company.
Felipe Dutra: Yes.
Carlos Brito: Yes. On your second Andrea, I think let me step back and talk a little bit about how we prepare I mean you're right I mean you read a lot of things about consumer confidence about macro getting better just all public information. But I think more importantly than that, I think our guys in Brazil use the year 2018 to really made -- they made some transformation investments in our portfolio in Brazil with innovation, your liquids and packaging, preparing for time when Brazil would really reignite in terms of consumer confidence and spending. So for example, our plan 2018 or now plan for 2019 that was supported by things we did in '18 is that, we have now robust unique portfolio that will allow us to play in all segments of the Brazil Olympian market. So not only we are now in super premium that we've always been in core, but now we have initiatives, strong initiatives on the various segment as well. So that's something that was not there before. Now it's in place, our distribution continues to increase throughout the country. For two years ago, we identified areas of the country that for different reasons we are being under service and that will continue to increase the distribution in some rural areas. Another one is we have some exciting innovations that are in the pipeline, things that we launched at the beginning of January like Skol pure malt and things they were still bringing to the rest of the country like Skol hops and other initiatives like new packs or a premium brands, global brands and things of the sort and also we have commercial investments that are targeted for customer experience that we're also seated during the year 2018 stating that 2019 could see an increasing confidence in consumers and when that happens, we think we stand to benefit from any proof consumer environment.
Andrea Pistacchi: Okay, thank you.
Operator: Our next question comes from on Simon Hales of Citi.
Simon Hales: Thank you. Hi, Brito. Hi, Felipe. A couple of questions, I wonder if you could come back to your comments around Mexico. And firstly, around the OXXO opportunity you've got there. Can you tell us a little bit about how the penetration will build over the next sort of two to three to four years into that OXXO not 17,000, strong OXXO channel? Clearly some of those markets opening up in April. But, you know, how do we think about that built over the next couple of years and just generally related to that and Mexico more broadly, how you're thinking about the wider premiumization opportunity in that market. And then secondly, just as broader question, I was interested to see recently another acquisition that you made into the spirits industry in the U.S. How was your thinking evolving there with regards to the broader alcoholic beverage segments?
Carlos Brito: Okay, Simon, so first question, OXXO again very exciting to be now beginning on April 1 part of the OXXO chain, they've been expanding a 1000 plus stores per year. We are the number one convenience chain operator in Mexico and Latin America, a chain, which we had no sales up until this point. So we're going to be introducing products in a sequence fashion throughout December 2022 and let's be clear there was no other way to do it. I mean, with this amount of stores and the amount of sales that we are counting on who would have to prepare in terms of production logistics and Christmas or not we are integrating our new brewery next week in Central and with additional capacity. So we're going to be ready with capacity. But we also need to be ready in terms of service levels depots. So we can start this partnership on the right foot. The good thing is that we are starting this partnership a year prior to the existing contracts ending, which would be only next year and yes, we're doing it in a phased approach. But starting a year before because we have to be in a phased approach any way, you don't all of a sudden go to 18,000 stores overnight, you have to build that. But the good thing is that we are starting in regions that are very important to us, right? And that's the Mexico City area, which is a huge area where most of the consumption in Mexico is in and we were over in that big time, you know, share. So we're going to enter a channel in a region where we over index our national share big time in the Guadalajara region as well which is important to us. So again, we're very happy. We think our consumers deserve that. Now they're going to be able to find a preferred brand in that channel as well. And again, it's going to be in a phased approach, there would be no other way to do it. Premium segment in Mexico, there is everything to be done. It's still very low compared to the total deal market and we have the brands to do it and we're doing it with Stella, with Michelob Ultra and now with some craps as well. So and also will help us do that as well because they're also interested in that trend, so very happy to be now a partner beginning April 1. In terms of the acquisition we did of Cutwater out of San Diego, California in the U.S. This belongs to -- pertains to an idea of ZX. And the idea of ZX is that when we enter established categories other than beer, we try to do it from a disruptive angle. So if we're entering spirits in a more serious way, we don't want to enter trying to do a me-too type brand, big brand, national brand. We're entering with a craft mindset. Same thing we did with wine, with the Babe in the U.S. the same thing we did with small acquisition that's growing very fast in the U.K., which is called master distillers, which is all about people crafting their own more beverage, their own whiskey scotch and then having that batch for them. So I mean, all those things are ways to try to enter established profitable categories with a different spin than what incumbents have currently. So Cutwater belongs in that category rather a framework.
Simon Hales: Got it. Thank you, Brito.
Carlos Brito: Thank you. Simon
Operator: Our next question comes from the line of Richard Withagen of Kepler Cheuvreux.
Richard Withagen: Yes, good afternoon. Thanks for the question. I have two, first of all on Mexico, on the new brewery, could I assume that the 12 million hectoliters becomes available immediately. And also, perhaps you can comment on what impact the brewery will have on efficiency and your total Mexican brewing infrastructure? And then the second question that I had was on CapEx in 2018, you spend slightly more than your guidance. Did you put forward some projects or what's going on there?
Carlos Brito: For Mexico your brewery as with new, any of your breweries, doing a phased approach, so you do Phase 1, Phase 2, Phase 3. I'm not sure we're willing to give all the numbers for the different phases for competitive reasons. But it's a brewery that was needed capacity, that was needed not only for the domestic market, but also for export markets. So we are very happy to be able now to open it up next week in Mexico, in terms of CapEx, yes.
Felipe Dutra: We net CapEx for '18 was about 4.6 billion. And we are looking to arrange a 4 billion to 4.5 billion for 2018.
Carlos Brito: Yes,
Richard Withagen: All right. Thanks.
Operator: Our next question comes from Sanjeet Aujla of Credit Suisse.
Sanjeet Aujla: Hi, guys. A couple of questions please. One technical one, when you're talking about inflation in your outlook, what inflation are you -- what inflation rate are you assuming and I've got a follow-up after that.
Carlos Brito: It's the weighted average CPI for the markets we operate, which is based on economist forecasts is between 4 to 4.5.
Sanjeet Aujla: Got it. And then just a follow-up on the soft drinks performance, it continues to be quite a drag. Clearly, there's some reorganization taking place there, but can you just talk a little bit about some of the initiatives and to what extent do you expect performance to improve in 2019?
Carlos Brito: Well, I think if you look at soft drinks, the main drag in our performance last year was Brazil. I mean it is a more elastic category. And when consumers under pressure they know they will buy less soft drinks before they buy less beer, the soft drinks tend to suffer more than beer in tough economic times. And it's also true that consumers within soft drinks in Brazil, they traded down and in trading down they went to segments in which our brands are not very prevalent not very presence. And that is on returnable packaging and more cheaper beer brands and local brands. So that's not the way we build our business. So those were the two reasons, I think our existing consumers feeling pressured and trading down to segments in which our presence is very small.
Sanjeet Aujla: Got it. And just on Argentina specifically, I think your volume performance deteriorated there in Q4. Can you just talk a little bit about the media outlook? Are you seeing any signs of stabilization or do you still expect it to be quite challenging?
Carlos Brito: No, I think what happened in Argentina last year is that the economists of the government they forecasted at the beginning of year, inflation that was around 25 or so percent and at the end it was more than 45%. So throughout the year given the cost pressures and everything we had to continue to correct prices every two months towards the end of the year and that of course put us at a big disadvantage give that competition had a different way of looking at things. And so, we believe that for next year that situation could be a bit more streamlined. But again in Argentina, what I have to say is that we're very excited about Budweiser back. We're going to reposition the brand to it belongs in a way it was being poorly managed. That's one of the reasons why we were excited about getting the brands back. We continue to gain share throughout, beer category continues to do well despite everything because other categories are more negative than beer. Our premium portfolio was stellar to our Corona but they're going yet. Local premium continues to perform very well. And we have also launched new affordable packs for Quilmes and Brahma to offer consumers some more accessible options during these tough times on the micro side. And last but not least we launched also [indiscernible] from Mendoza province, Mendoza is very famous for wine. That's why we launched this in that region because we want to compete with for that real occasion by offering not only the regular [indiscernible], but also different liquids and files so people can pair with food in a easy way. So it's doing very well. We feel so in 2018 in tough economic times in Argentina, what we did was again make sure our portfolio is ready or when things would normalize a bit but what really disturbed our business to your question Argentina last year was the frequency and the amount of price increases we have to implement towards the end of the year every two months or less given the acceleration of inflation which people think again this year would be a bit less of a problem, will still be high but not as high.
Sanjeet Aujla: Thank you.
Carlos Brito: Thank you.
Operator: Our next question comes from the line of Carlos Laboy of HSBC.
Carlos Laboy: Yes, good morning everyone. Brito, you've spoken at length about liquid differentiation about with your core brands in every market and about having differentiated occasions like you just did. Are you comfortable in Brazil with your mainstream liquid differentiation, are there opportunities still there? And can you comment on the line extensions in Brazil. You mentioned pure malt and how differentiated are its occasions and how you avoid cannibalization with it?
Carlos Brito: Well, that's a good point. I mean in Brazil what we saw in the last few years is that pure malt emerged as the new segment. And as always, we utilize a portfolio approach because again consumers goes to different occasions and they require different taste, different profiles, different styles and in 2016 for example we launched three varieties of Brahma Extra right which is a pure malt line extension of Rum, then from Brahma Extra we went to Skol in the second quarter of last year, we had Skol hops that was an innovative beer line extension for Skol with fragmatic very light fresh flavorful inspired by IPA but an easy drink in IPA. The Skol Hops grew to be almost the size of Brahma Extra. So demonstrating how powerful the Skol brand is. And then based on that, now on January 2nd, we launched the Skol Pure Malt which is a Pure Malt beer but using an innovative brew process which makes it very easy drinking even being a pure malt option. So these two brands Skol Hops and Skol Pure Malt, this two line extensions that is same are really being beneficial and will continue to be this Skol Mother brand since they give Skol more brewing credentials and reinforces Skol innovative DNA as an easy drinking liquid but also as an innovative brand. So we believe that the portfolio approach has been starting to working well for Skol. We also have been lots with Brahma. Brahma is very healthy growing very fast and we also did a lot on expanding our portfolio in a possible way to more affordable liquids. So we took the idea from Africa. We had not much happening in terms of our brands in that segment and with the Africa idea of local cereals, we went state by state in the Northeast to north and the Pan Handle states also in the Western side of Brazil depending on the cereal that was grown in that state and there's a different we proposed a local recipe with a local name that's relevant for consumers in that state and I'd say very surprised by the acceptance at a lower price point but with very good margins the same we did in Africa, we learned from our new colleagues. So again, that's what we're doing in Brazil. So again preparing Brazil always for the time after the Elections when consumers show better and this time seems to be here at least that's what we read in the paper.
Carlos Laboy: Thank you.
Carlos Brito: Thank you.
Operator: Our next question comes from the line of Caroline Levy of Macquarie.
Caroline Levy: Good morning. Thank you very much. A couple of questions, just the ANM was down substantially in the fourth quarter, if I read that correctly, and was that all to do with the way your spending ran in a very high in the second quarter around World Cup. And do you expect to raise ANM in line with sales growth next year like it will be plenty Spencers is the question. And then just secondly you talked about having very good margins on the high-end company above the core margins. Can I just clarify that that's at the bottom line? It's not a gross level and it's despite the fact that there must be less operating leverage when you're growing small brands versus driving volume growth on the Bud Light for example? Thanks.
Carlos Brito: Right, Caroline, I think it's interesting. Let's go first for the ANM for the quarter. We always say that to follow ANM quarter-by-quarter is not the best way to do it. You're right. Last year we had the World Cup which concentrated lot of investments around Q2, Q3. So of course that's not a normal year. So I would look at the total year. That's precisely, I mean, you answer the question. And the second one on ANM for next year, I don't recall exactly what the question was?
Caroline Levy: Just are you planning to spend at a similar percent of sales like will you support your brands aggressively again?
Carlos Brito: Yes, we'll continue to support our brands of course we're not going to give any guidance from ANM because that's competitive sensitive but we'll continue to support it's our number one priority in terms of capital allocation is to support our organic business. And only then de-leverage. So we'll continue to support it. And if Brazil, if consumers feel better as I said to Carlos in the question before, we have a portfolio that we invested a lot in 2018 that's ready to take advantage of any growth in consumer confidence we see in the market. So we feel that if the growth is coming back to the industry in Brazil and it's not guidance. I'm just saying if that's the scenario, we feel we're best positioned to take advantage of it.
Caroline Levy: And then I just asked about margins on the high-end company at the EBITDA level?
Carlos Brito: Sorry, yes, yes, you're right. So you have three questions. On the high-end company, I think the beautiful thing about the high-end company is that it does the whole operation on a focused basis but at the end, it takes advantage of the scale of the core company. So I think that's the magic of it. We have two magics there, first when we take for example Kraft Brands and we get Kraft Brands that we that are partnering with us and we have them to access our supply organization and our procurement organization. The costs are much more streamlined than they were when they were an independent company. The products are the same. It's just that we buy and produce at a much better cost and the distribution is done in a much better way. So yes those brands require more investment, but on the other hand even for global brands, once they start going and scaling they not only take advantage more and more of our machine but they also start paying back a lot of this investment. So for sure, it's margin accretive. I'm not saying for example you find me introducing Budweiser in Nigeria of course, I mean for the first two years or so, I am investing ahead of the curve but that's an exception. Most places our global brands have been there now for a couple of years and they are at scale, when you look at the total of our global brands. They can grow much faster but they're already let's say they have already some critical mass and they are accretive.
Caroline Levy: Thank you.
Carlos Brito: Thank you.
Operator: Our next question comes from the line of Edward Mundy of Jefferies.
Edward Mundy: Good afternoon, everyone. Two questions please; Nigeria, first of all that's been a huge success for you, other than just improving the amount of capacity you have, what is it about being a challenger in that market that's enabling you to gain so much share. And then the second question is around your low and no strategy to ambitious targets by 2025. How important is it to really get low alcohol, your alcohol growing within the U.S. as part of that?
Carlos Brito: You mean the U.S.?
Edward Mundy: In U.S. parts.
Carlos Brito: Okay. Sorry, I missed the last part. Well Nigeria has been amazing story, I mean Nigeria, our colleagues, new colleagues had done already a very good work in terms of base. They identified some consumer insights given that in Nigeria had some different consumer groups in different regions of the country. They matched that with some brands we had and but they had capacity constraints. And when we came on board, one of the first decisions we made was to really invest in a new brewery in Nigeria and also to fix some bottlenecks in Onitsha and Port Harcourt, there's some existing breweries. And then once we had capacity then it was just all upside. And on top of that last year with the World Cup which was just Budweiser which is an amazing success Nigeria, Nigeria Nigerian consumer they're very open to American brands very open not only to beer but American brands in general. And Budweiser is the -- so we made it kind of in the bottle right. I mean from sports to music to just the imagery of the U.S. that it projects to the iconic brand. I mean it's really very powerful brand and a growing premium segment. So there is everything to be done in the Premium segment in Nigeria. You go to Lagos, you see that consumers are looking for ways to express their middle class express that they yes we can buy more expensive stuff and the demographics in Nigeria is very compelling, right. Lots of young people, young adults and the Pyramid is very favorable for the next many years. So we see lots of opportunities, we have big momentum, we have a great team, great leadership and yes consumers love our brands and now we are in Lagos because now we have capacity before we're only in the interior of the country. And yes, it's very good market, very excited, very committed to it. And in terms of no-and-low alcohol beers, we said for many years now that we see a big opportunity because when you look at health and wellness and when you look at how eclectic beer is, beer can go all the way to zero-zero. And we decided to approach the no and low alcohol beer as we do with the global brands for example in a portfolio approach way. So we believe that for global brands, the way to really do it is through a portfolio approach not with one brand because consumers have more and more occasions as soon as they used to more and more assortment, more and more choices. So we built a portfolio of global brands that appeal to different needs, different occasions in our complementary and doing very well. And we're using the same strategy portfolio approach to the no and the low alcohol beer. We believe that it's about different brands, so today I'm here in Belgium taking this call from Belgium and we have gotten zero-zero with different flavors. We have less zero-zero than we had [indiscernible] zero-zero, and that's exactly what consumers want because these brands are different, they offer different profiles in terms of liquid, styles. And consumers want to have that option not only in one brand but also in a portfolio of brands. So we believe that beer can do that and 8% of our volume today is already in that segment of 3.5% it will be all the way to zero and we want to get that to 20% very profitable and very in line with some trends we see out there of health and wellness in moderation. So again very happy with our portfolio, the way it's developing and growing. Thank you.
Edward Mundy: Just on that, I mean in Europe you mentioned that you're in Belgium, now you're seeing that the big are getting boosted by Nigeria alcohol, I mean can you see some local currency within the U.S. for this [indiscernible] develop?
Carlos Brito: Yes, I think the U.S. where we're now testing Budweiser 00 in some markets that we tested in Canada went very well, so we're testing out in the U.S. and we'll see. I mean I think  for sure the U.S. will also follow that trend. Low alcohol is also an interesting opportunity around the world. So it's not only about non-alcohol but also local alcohol beer, so -- but yes, the U.S. part of our plan for sure.
Edward Mundy: Okay, thank you.
Carlos Brito: Thank you.
Operator: Our next question comes from the line of Mitch Collett of Goldman Sachs.
Mitch Collett: Hello. I've got a question on South Africa. Can you just confirm that the supply disruption from Q3 is over? And I appreciate it's a very challenging macroeconomic environment. But if I look at 4Q versus the nine months, your volume growth is better. Your pricing is weaker and your margin contracted quite a lot in the fourth quarter. I think it was down 300 basis points in the release, can you perhaps comment on what's driving the shape of that growth. And then one completely unrelated follow-up and I appreciate you're not going to guide by the quarter but last year you got off to a pretty slow start which you highlighted on the 4Q call, would it be wrong to assume that the shape of this year will be opposite way around? Thank you.
Carlos Brito: Well, as you said, Mitch, out of stocks was a problem for us in South Africa together with the macroeconomics. In the fourth quarter, we saw better numbers in terms of volumes because the out of stocks was in a better situation. The form of margins going down has to do with increased supply chain cost because to alleviate the out of stock, we had to bring beers from different points in the country. So the beer average mileage increased because it's also peak period end of the year summer. So that's something that we see as a one-off but it was there in the fourth quarter, but we thought was better to incur those costs and have products in a peak time. So, out of stocks have pretty much solved with the exception of some very specific products that have a different production process that we're still solving some bottlenecks, but in preparing of course when the summer kind of teams down now in February, March then we have April with Easter which is for South Africa very important, very important season. So we don't want to -- we want to be totally ready for that season.
Mitch Collett: So, does that mean the margin contraction from Q4 could continue into 1Q until you get to the low season, and then obviously next year you probably will have fixed it?
Carlos Brito: No, what I said in the fourth quarter, I'm not giving guidance for the next quarter. What I said for fourth quarter is that there was a supply constraint in the fourth quarter that I had to bring beers from afar, because the premium brands are going very fast, and that's not yet available everywhere. So I had to bring it from afar. So the mileage that [indiscernible]. So it was not optimized, but we decided to do that as opposed to lose sales in a big period. So that's why the bottom is better, but at higher costs, but I would see that at least this for the year 2018 as a one-off, but again, no guidance. The guidance we have for cost that our company, right, is on a companywide global basis not for market.
Mitch Collett: Yes.
Carlos Brito: Thank you, Mitch.
Mitch Collett: And then the shape of this year, given last year, got up to a relatively slow start, would it be fair to assume at the group level that this year could be the other way around?
Carlos Brito: Well, again, we are not giving guidance at this point. It is true that the second quarter, especially last year when volumes contracted big time, that's all public, but at this point -- at this time, we not -- we also have phases [indiscernible] Easter and all, that price increases, so many things. And at this time, we are not giving guidance in terms of phasing of comps for 2019 in South Africa.
Mitch Collett: Okay, understood. Thank you.
Carlos Brito: Thanks. Thank you, Mitch.
Operator: And ladies and gentlemen, we have time for one more question. Our final question will come from the line of Nik Oliver of UBS.
Nik Oliver: Hey. Thanks guys for the question. And just one final one for me, and in Brazil, you mentioned market share being down 40 bps for the year. Could you remind us just where share is overall in that market? And how important is it for you to get back to the previous share levels, or is it more just about maximizing profitable growth? Thanks very much.
Carlos Brito: Yes, Nik, one thing to be said to paint the total picture is that in 2017 we gained 60 bps of share and then in 2018 we lost 40 bps of share, just to give the total picture. And at this point, we are not, like in the U.S., we are not giving the base for share number because the sources are moving, and these are company estimates. So for now, we are -- like we do in the U.S. we give the deltas, but not necessarily the base because these are company estimates.
Nik Oliver: Okay, that's very clear. Thanks guys.
Carlos Brito: Thank you, Nik.
Operator: And that was our final question. I would like to turn the floor back over to Brito for any closing remarks.
Carlos Brito: All right. Well, thank you Maria, thank you everybody for your time. In summary, 2018 was another step forward in our company's transformational journey. We had many successes to celebrate, though we face some headwinds too. Our focus this year was to continue to drive the organic growth of our business, while de-leveraging towards our optimal capital structure. Today we are a stronger, more diversified company, applying our learnings across our global business. While there is always more work to be done, we are confident in our strategy to deliver balanced, sustainable top and bottom line growth in 2019 and beyond. Thank you for joining the call today, and enjoy the rest of your day. Thank you.
Operator: Thank you. This concludes today's earnings call and webcast. Please disconnect your lines at this time, and have a wonderful day.